Operator: Thank you for standing by, and welcome to the Lineage Fourth Quarter 2024 Earnings Conference Call. [Operator Instructions] Thank you. I'd now like to turn the call over to Evan Barbosa, Vice President of Investor Relations. You may begin.
Evan Barbosa: Thank you. Welcome to Lineage's discussion of its fourth quarter and full year 2024 financial results. Joining me today are Greg Lehmkuhl, Lineage's President and Chief Executive Officer; and Rob Crisci, Lineage's Chief Financial Officer. Our earnings presentation, which includes supplemental financial information, can be found on our Investor Relations website at ir.onelineage.com. Following management's prepared remarks, we'll be happy to take your questions. Turning to Slide 2. Before we start, I would like to remind everyone that our comments today will include forward-looking statements under federal securities laws. These statements are subject to numerous risks and uncertainties as described in our filings with the SEC. These risks could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued today along with the comments on this call are made only as of today and will not be updated as actual events unfold. In addition, reference will be made to certain non-GAAP financial measures. Information regarding our use of these measures and a reconciliation of non-GAAP to GAAP measures can be found in the press release that was issued this morning. Unless otherwise noted, reported figures are rounded, and comparisons of the fourth quarter of 2024 are to the fourth quarter of 2023 and comparisons of the full year 2024 are to the full year 2023. Now I would like to turn the call over to Greg.
W. Lehmkuhl: Thanks, Evan, and thanks, everyone, for joining us today. Turning to the 2024 highlights on Slide 3, I'd like to start with a brief recap of our 2024 accomplishments. We executed the largest IPO of the year and the largest REIT IPO of all time. This enabled us to reduce our leverage to under 5x, which earned us investment-grade ratings at both Moody's and Fitch and positions us well to continue to deploy capital across our attractive pipeline of development and M&A opportunities. Financially, we delivered 4% adjusted EBITDA growth and 6% AFFO per share growth and initiated our dividend at an annualized rate of $2.11 a share. Operationally, we delivered same warehouse physical occupancy of 78% despite a challenging external environment, driven by our high-quality assets in the locations most critical to our diversified customer base. As we reflect on 2024, we achieved the second year in a row of our all-time best safety performance, reinforcing our first corporate value of safety; record new business wins helping to offset the industry headwinds; best-ever truck turn times for our customers, the service metrics they care about the most; best warehouse labor productivity in our history, and this continued into the first quarter; the issuance of our 100th patent, demonstrating our unwavering commitment to innovation, automation and data science. We received market recognition and awards like the CNBC Disruptor 50 list for the fourth consecutive year; the Fortune's 2024 Change the World list for the second time; The Inc's 2024 Best in Business awards for the innovation and technology category; and the 2024 SmartWay Leader by the U.S. EPA in recognition for our dedication to sustainability through innovative freight solutions. Finally, we executed on our robust pipeline of development and M&A opportunities deploying $760 million of growth capital, including the opening of what we believe to be the most state-of-the-art and innovative fully-automated cold store in the world in Hazleton, Pennsylvania, which opened on time and is operating as expected; the acquisition of ColdPoint Logistics in Kansas City; and several other accretive acquisitions around the globe. I would like to sincerely thank all of our team members across the world for contributing to our success in 2024. Next slide. As we move into 2025, fresh and frozen food remains a growing segment, driven by strong long-term demand. The vast majority of food consumed in developed markets requires temperature-controlled warehousing at some point in its journey from farm to fork. At Lineage, our strategically-built network and cutting-edge technology gives us a significant competitive advantage and positions us as the global leader in the cold chain. Operationally, we're seeing continued benefits from our focus on labor productivity, lean process excellence and energy management, driving efficiency across our business. And speaking of efficiencies, our LinOS initiative is on track, and our early pilots are exceeding expectations. As a reminder, LinOS is our proprietary warehouse execution system that we've developed and already implemented in multiple automated facilities and have begun piloting in our conventional buildings. The software uses patented and proprietary algorithms that are a result of many years of development and collaboration between our data science, technology and operations team. Our belief is that LinOS will transform warehouse operations resulting in significantly higher performance for customers while accelerating efficiency improvements. Our early pilots are both exceeding our efficiency expectations and being positively received by our hourly team members and warehouse leadership. Our teams are genuinely excited about how this technology can transform our operations. In fact, I've been getting requests from general managers asking to be next on the list as the enthusiasm around this initiative spreads. In short, it's still early but we're more excited than ever about LinOS, and we will provide more color moving forward as our pilots continue and we learn more. Before introducing our 2025 guidance, allow me to provide some color on the path traveled over the last few years. As part of our long-term planning cycle, we recently had our data scientists refresh our analysis of the core holdings of our North American warehousing business to shed light on recent trends. Now no study is perfect, but our data suggests that, first of all, food consumption has not changed. In fact, our study showed that since 2021, our outbound pallet volume remains stable, fluctuating less than 1% annually. The volume just shifted between channels, for example, from foodservice to retail. And importantly, due to our diversification has minimal impact on us because we store pretty much everything. However, inventory holdings have fluctuated over the past several years. Here is a brief time line of what happened. Back in 2020, 2021, we saw supply chain chaos, production charges, port shutdowns and the inventory was bled down. 2022 was the year where customers began to rebuild inventories quickly, leading to overbuilding. That overbuilding continued into the third quarter of 2023 when the excess inventory began to unwind. That unwinding continued through the second quarter of 2024. Said another way, inventory levels remained elevated for the first half of 2024. Since then, we've experienced a more normal seasonal pattern, which is what we expect to continue moving forward. For 2025, we expect full year adjusted EBITDA of $1.35 billion to $1.4 billion; and AFFO per share of $3.40 to $3.60. To reiterate, our 2025 guidance assumes normal seasonality from today's historically low inventory levels with no market improvement. As always, our guidance excludes the impact of unannounced future acquisitions or developments. Our solid financial position bolstered by a strong balance sheet, available cash and significant debt capacity provides the opportunity to deploy over $1.5 billion in capital in 2025. Now I'd like to turn the call over to our CFO, Rob Crisci.
Robert Crisci: Thanks, Greg. Good morning, everyone, and thanks for your interest in Lineage. Starting on Slide 5 and looking briefly at our financial results for the fourth quarter. Our total revenue was $1.34 billion, flat versus prior year. Our adjusted EBITDA increased 10% to $335 million with adjusted EBITDA margin increasing 210 basis points to 25%. Our AFFO for the quarter was up over 145% to $213 million and AFFO per share was $0.83, a 73% increase versus prior year. We did benefit from a onetime tax item in the quarter of approximately $13 million or $0.05, aiding our AFFO results. Also in the quarter, we deployed $329 million of growth capital, including the closing of our previously announced acquisition of ColdPoint Logistics. The integration is off to a great start, and we are proud to have the ColdPoint team as part of the Lineage family. Turning to our full year 2024 results on Slide 6. Our total revenue for full year 2024 was $5.34 billion. Our adjusted EBITDA increased 4%. Importantly, our 2-year adjusted EBITDA CAGR is a strong 11% despite market headwinds, a testament to our ability to perform well in all market environments. Adjusted EBITDA margin increased 100 basis points to 24.9% in 2024 and is up 310 basis points over the past 2 years. AFFO was up 25% to $705 million and AFFO per share was $3.29, a 6.5% increase versus prior year. Turning to our global warehousing segment, which represented 87% of our total NOI in 2024. Full year segment revenue grew 1% and total segment NOI increased 2% to $1.5 billion, delivering warehouse NOI margin of 39.5%, a 40 basis point increase. Since 2022, we've grown our total warehouse NOI margin 390 basis points, driven by strong labor productivity improvements and continued operational execution. We operate highly efficient warehouses, thanks to our committed team members, lean processes and innovative technology. We believe we are on a long-term journey to reduce our cost structure, in particular our labor and energy expense through operational excellence and the continued deployment of our proprietary technologies. We believe we're only getting started. Looking forward to 2025, we expect full year segment NOI growth of 4% to 6% on a constant currency basis and 3% to 5% on an as-reported basis. We see same warehouse NOI growth of 2% to 5% on a constant currency basis and 1% to 4% as reported. As Greg outlined, we believe our market has stabilized after 2 years of unusual volatility driven by inventory rebalancing. Inventory levels remained elevated in the first half of 2024 and stabilized later in the year. Our guidance assumes normal seasonality for 2025 but no market improvement. We are well positioned for strong operating leverage on any incremental growth. In summary, we expect to drive continued growth and margin expansion in 2025, all before any benefit from our LinOS project, meaningful market improvement or incremental capital deployment. Shifting to Slide 8 and covering our global integrated solutions segment. We saw a slight decrease in total segment revenue, which came in at $1.5 billion, down 2% versus prior year. NOI was down 5%, and NOI margin decreased 50 basis points to 15.9%. As a reminder, our global integrated solutions segment offers value-added solutions to our customers, which increases stickiness and supports our warehouse business. While we saw declines in 2024 driven by global transportation trends and specific weakness in some European markets, we are well positioned for a rebound in 2025. This is aided by new business wins as we benefit from our customers taking advantage of our unique network and full suite of services, allowing us to partner with our customers to optimize their supply chains. For 2025, we expect full year segment NOI growth of 5% to 10%. Turning to Slide 9. We ended the year with net debt of $6.5 billion. Total liquidity at the end of the year stood at $1.8 billion, including cash and revolving credit facility capacity. Our leverage ratio, defined as net debt to adjusted EBITDA, was 4.9x at the end of the year. Our strong balance sheet, available cash and debt capacity provides the opportunity to deploy more than $1.5 billion of growth capital in 2025. We are excited to enter the new year with a reloaded balance sheet and a large pipeline of attractive acquisition and development opportunities that will allow us to continue to build on our position as the global industry leader. Turning to our 2025 guidance, which Greg already previewed. We expect full year adjusted EBITDA of $1.35 billion to $1.4 billion; and AFFO per share of $3.40 to $3.60. As a reminder, this guidance excludes the impact of unannounced future acquisitions or developments. We have also included some additional modeling support on this page. We are very excited to deliver a strong year for our shareholders. With that, I'll turn it back over to Greg.
W. Lehmkuhl: Thanks, Rob. I'll conclude on Slide 11. We capped this transformational year on a strong note, proving once again that our business is built to perform in any environment. Our focus on execution, cost efficiencies and smart capital deployment has forged a solid path of growth for many years, and we're excited about the opportunities ahead. Looking forward, we're confident in the long-term demand drivers of the global food supply chain and our ability to lead the industry. With our unmatched platform, cutting-edge technology, broad customer reach and over $100 million of incremental future NOI growth from previously completed or in-process development projects that have yet to be -- that have yet to stabilize, we're in a great position for compounding growth and long-term shareholder value creation. Our balance sheet remains strong, giving us the flexibility to invest in a robust pipeline of strategic opportunities. Like Rob said, we're just getting started. With that, let's open it up for questions. Operator?
Operator: Your first question comes from the line of Alexander Goldfarb from Piper Sandler.
Alexander Goldfarb: So a question on just the industry overall. You guys talked about inventory levels normalizing after the post-COVID recalibration. You talked about also being at low levels. At the same time, there's tariff talk, there's still inflationary pressure, grocery prices, restaurant prices. So what gives you confidence that the food market, the cold storage market truly has settled out? And it sounds like there's some optimism in your tone that things could improve. What are some anecdotes that give you that confidence versus nervousness that the consumer is still under pressure, whether it's eating out or eating at home?
W. Lehmkuhl: So as we talked about in our prepared remarks, even through the significant volatility in inventory levels we've seen for the last few years, our throughput in our core holdings really didn't change very much, less than 1%. And so inventory fluctuated quite a bit, as I outlined, and settled in our core holdings in the third quarter of last year, and we saw normal seasonal patterns since. And so if we look at the current inventory levels, they're low versus kind of pre-COVID history. And we're not being optimistic. We're assuming that things just resume a seasonal pattern versus -- from these historically low levels. I think the upside here is that's not in our guidance is that what we're hearing from customers is they're acutely focused on increasing sales. They are doing promotional activity and all kinds of things and discounting in order to get volume moving. And that would be all upside versus our guidance as our incremental margins are great, and we have strong operating leverage. And so we're not being optimistic in our guidance, we're assuming the market stays the way it is today.
Operator: Your next question comes from the line of Ki Bin Kim from Truist.
Ki Bin Kim: I appreciate your commentary and the color you provided on guidance. But I was just wondering if you can provide some more details -- for example, on occupancy, it sounds like that should still mean negative occupancy next year as the first half of this year might be a little bit challenging. I'm not sure if that's correct, but if you can provide some details on that and maybe pricing.
Robert Crisci: Yes, for sure. So let me drill down a little bit on seasonality. So Greg covered a lot of this, right? It's been unusual in the last several years, given all the stuff Greg just talked about. So if we drill down just a little bit more. So if you look at our 2024 results by quarter for our new 2025 same-store pool, right, which is in the appendix, you actually see that last year, the NOI is almost exactly the same in each of the 4 quarters, like within $5 million or so. That's highly unusual. And that's the result of what Greg just said, which was last year in the first half, we still had elevated inventory levels and then normal seasonality began to the second half. So that dynamic, therefore, creates challenging comps for us in the first half of this year. The good news, as Greg mentioned, right, is that we feel the industry has stabilized at these lower levels. And as Greg also said, we're not assuming any improvement. So drilling down again, normal seasonality. So if we look at pre-pandemic data back when our industry was more normal, Q1 generally declines from Q4, then Q2 generally declines a little bit from Q1. Q3 jumps up a fair amount, and then Q4 is typically the peak aided by the holiday season and then it starts to come back down and get into Q1 and we sort of start at 0 again. So we see this year as a normal year and expect our results to follow that trend. So if you break that out into sort of first half, second half, generally, in a normal year, you'll get 47% to 48% of your NOI EBITDA in the first half and 52%, 53% in the second half, and that's what our guidance assumes.
Operator: Your next question comes from the line of Ronald Kamdem from Morgan Stanley.
Ronald Kamdem: Just a quick 2-parter. Just I'd love -- on the same-store NOI guidance for the warehouse segment, I'd love if you could drill in a little bit how much of that is top line versus expense saves, just high level, what's driving that? And then the second question is just that $1.5 billion of capital deployment, can you talk a little bit more about the pipeline, the kind of opportunities that you're looking at?
W. Lehmkuhl: So I'll start with pricing. In terms of pricing, we expect to get inflationary level pricing. We are most focused on being long-term partners with our customers, and we treat each customer in the market uniquely. At times, we'll trade volume for price if it makes sense for us. And then we expect to continue to get productivity improvements, energy efficiencies and synergies.
Robert Crisci: And then on the pipeline, yes, I mean, the pipeline is exciting, right? None of this is in our guide. We have the capacity. We're not saying we're going to deploy $1.5 billion, we're saying we have the capacity as we laid out between our available debt and where our ratios are to do that. And there's a ton of development opportunities. There's a ton of M&A opportunities. If you look back over the past couple of years, we spent about $750 million each year in terms of growth capital, right? As you know, we've been working hard to get our balance sheet in the right position, get the IPO done so we can really accelerate the growth of this company, and we're there. And we're super excited about that. And we're working on a lot of exciting things that we hope to tell people about here in the near future.
Operator: Your next question comes from the line of -- go ahead, Nicholas Thillman from Baird.
Nicholas Thillman: Just wanted to drill in a little bit on pricing within kind of just on a per pallet basis. It seems as though that's kind of -- I know you guys aggressively priced in '23, now it's a little bit flat. I guess as you look into '25, are you willing on the new customer acquisition to kind of give up price to prioritize occupancy? Or how should we be kind of thinking about that?
W. Lehmkuhl: Yes. I'll just reinforce what I said. I mean, over time, we think we can get inflationary level price increases. And we're looking at each market, the supply/demand dynamics in each market, and we're looking to partner with customers to make sure that we stay a valued partner for the next -- for the long term here. That said, we are getting inflationary-level prices in nearly all of our markets and feel confident we can do that. It's very difficult to see in the external metrics because a little bit of mix shift between commodities or anything else can mask that price improvement.
Operator: Your next question comes from the line of Todd Thomas from KeyBanc.
Todd Thomas: I wanted to follow up on capital deployment. I realize guidance does not include anything incremental that has not been announced. But how should we think about the mix of equity and debt to fund future investments from here with leverage ending the year at just under 5x on a net debt to adjusted EBITDA basis? And then separately, I was just curious if you could talk about the yield pickup related to the $1.3 billion of completed and in-process projects, that $101 million of NOI, that opportunity. How should we think about the cadence of that incremental NOI coming online during 2025?
Robert Crisci: Yes. So on the first one, so the $1.5 billion, that just assumes funding with cash and debt, so no equity. Certainly, we've got plenty of opportunities to accelerate that with equity. If the math worked out, we'd always be willing to do that. Obviously, that depends a lot on the share price and where you want to issue shares. So we're just assuming debt and cash. On the second point, which I think is an important one, we have a number of these great buildings that are either -- we had Hazleton open recently. We've got a lot of things in progress. We talked about that $100 million plus, I'd say about 1/4 of that, we're expecting to sort of flow through this year and then the remainder in out years. And we have very consistent yield on these projects. It's a huge part of our compounding, and we want to make sure that people understand that this is a big part of what we do, and we've got a lot of stuff we've already done that just hasn't rolled through our financials yet.
Operator: Your next question comes from the line of Jeremy Kuhl from Goldman Sachs.
Jeremy Kuhl: Regarding occupancy, any concerns about the gap between economic and physical occupancy? How do you guys think about the spread between those 2 metrics?
W. Lehmkuhl: Yes. I mean, our spread is relatively tight between physical and economic, and we see that absolutely as a good thing. We think long-term customers do not want to pay for space that they're not using, and we feel that, that's a great place to be.
Operator: Your next question comes from the line of Blaine Heck from Wells Fargo.
Blaine Heck: Can you guys talk about supply and whether you're seeing pressure on rates driven by new supply in any specific markets? And then looking forward to 2025 and beyond, what do deliveries or completions look like broadly? I guess, will we continue to have supply pressure this year?
W. Lehmkuhl: Thanks for the question. So I'll start just by saying we're in a market that grows long term globally, a very stable market, as I talked about. Our throughput pallets on core holdings have not changed a lot. It is an attractive industry for that reason. And it's not surprising we've seen new investment over the last few years. So as we discussed last quarter, like you mentioned, there are some new competitors and even speculative developers that have entered our space. In the current construction cycle, that new capacity peaked in 2023. It came down by about 50% in both 2024 and 2025 levels versus 2023, and we expect those new deliveries to continue to decrease over time. It's also important to mention that the capacity that's been added over the last few years has been built at the highest cost to build in history, absolutely, for sure. And we don't expect those build costs to decline from the current levels because of inflation, land cost, entitlement and just the complexity of building, especially with automation. And so as such, it's very hard for these smaller newer players to succeed at anything below market prices in a market with rising capital cost. And we actually expect some of these businesses to underperform and some to fail, and we're seeing evidence of that in the marketplace. And we expect some of these dislocations to create opportunities for us as we continue to position ourselves as an acquirer of choice in the industry. And when you compare us to these new entrants, I mean, we have very distinct advantages. We have huge scale advantages. We have the network effects that come with that. We are the world leader in cold storage automation. We have proprietary technology like Lineage Link and LinOS. We have C-level customer relationships with over 13,000 customers around the world. And we have our GIS segment where we can support their cold chain from farm to fork, where none of these other competitors can do that. So long story short, we feel great about our ability to compete.
Operator: Your next question comes from the line of Steve Sakwa from Evercore ISI.
Steve Sakwa: Could you maybe just talk a little bit about the pricing that you're seeing on the acquisitions that you're maybe looking at? Like how has that changed? And with your cost of capital changing, how are you thinking about pricing on new deals going forward?
Robert Crisci: Yes. So obviously, the market here has been challenged the last few years and that you sort of see a little bit of that in the public valuations and it also flows through the private valuations. Ultimately, we're going to make the best decisions to drive long-term value for our shareholders with the highest risk-adjusted returns. So there's always a good arbitrage opportunity for anything that we do. So in the near term, that accrues directly to our shareholders. And then as we improve the businesses over time, that also will accelerate those returns. And so really no changes versus how we've done this in the past. We definitely benefit from having the balance sheet that we have today and that lower cost of capital, and that gives us an advantage and being #1 in the industry gives us a huge advantage. And so like I said, we're excited about the opportunities here. And if we can take advantage of any market dislocations in the near term, we certainly will.
Operator: Your next question comes from the line of Michael Carroll from RBC.
Michael Carroll: Greg, I wanted to circle back on your LinOS comments. I know you indicated that the pilot tests are showing strong initial results. Can you help us understand what that means? I guess what did these pilots prove? And are you seeing better revenue growth and better margins at those assets? I guess, how can we clarify that comment that you're seeing stronger results than you expected?
W. Lehmkuhl: Yes. Great question. So as I mentioned, the LinOS initiative is very, very much on track. The pilots are early, but they are absolutely exceeding our expectations. We're super excited about it. This year is about proving out the functionality of the technology and getting it rolled out to different types of facilities. So think docks, think high reach, think case pick and getting all that technology rolled out in every aspect of the operation across different facility types to prepare for a broader rollout next year. And so as I mentioned, we believe that this technology can fundamentally transform our operations, and we are seeing early indications of that. I actually have a great story, Michael, from our first pilot. In the first week of rolling out LinOS early this year in Chicagoland, our COO, Jeff Rivera, was just standing there observing the operation and kind of watched LinOS act as kind of controlling the orchestra of the operation, if you will. And one of our most senior team members, a 30-year reach truck driver who had been working with this technology for 2 days, thrown by Jeff on his forklift, gave him a thumbs up and said, this is freaking awesome. And he actually used a little bit more -- different wording, but -- albeit polite. And so I think the buzz and the excitement within the company and in our leadership team has never been higher. We've never been more optimistic. That said, it's really early, and we want to wait until we have more proof points before we come out with any sort of additional color. But we will definitely -- we are extremely excited to share that as this year progresses.
Operator: Your next question comes from the line of Daniel Guglielmo from Capital One Securities.
Daniel Guglielmo: I know you have a mix of large and small customers with the top 25 customers making up about 1/3 of revenues. As we continue to come out of this customer demand kind of trough, are you seeing a divergence in the speed at which large customers are occupying space versus your smaller customers? Or are there any trends of note between the 2?
W. Lehmkuhl: So I would say no. We are -- our customer base has been very stable as we look over the trailing 12 here, and we wouldn't anticipate that to change moving forward. Importantly, we're -- with our scale, we're touching all commodities, all customers in all the regions in which we operate. And that diversification is part of -- a big part of our story. So any shift that would happen that we're not anticipating, one would benefit and another would -- could be impacted, but we're super diversified and not a concern for us.
Operator: Your next question comes from the line of Michael Goldsmith from UBS.
Michael Goldsmith: I appreciate some of the background on the supply, but just maybe to ask a little bit more directly. Will competitive supply for 2025, will that be lower, higher or the same than last year?
Robert Crisci: Well, if you mean in terms of new things coming online, it's lower. I guess, yes, I mean, what -- competitive supply dynamics...
W. Lehmkuhl: We would expect it to be consistent with last year. And new supply going down moving forward.
Operator: Your next question comes from the line of Omotayo Okusanya from Deutsche Bank.
Omotayo Okusanya: A question around -- I mean, you look at the USDA data that kind of suggesting that inventory pressures are still existing in the business. There's a lot of talk about kind of continued inflationary pressure on food costs and some of the more recent data around like weaker consumer sentiment. I mean, as you kind of just look at a combination of those things, do you kind of look at that as a dynamic that continues to kind of put pressure on things for a while? I mean some of your comments today seem like 2025 really is a year of market stabilization. But I just kind of compare it against some of that demand-related data, and I just kind of wonder if that kind of lingers for a little longer than maybe everyone is expecting.
Robert Crisci: So on the -- yes, I'll just comment brief. So I went through all that sort of normal seasonality information. We looked back at the USDA data for that as well. So I mean what you're seeing in the USDA data is that normal seasonality, at least over the past year, as we talked about starting in the back half of last year. Go ahead, Greg.
W. Lehmkuhl: Yes. And I think it's just important to point out again that despite the inflationary pressures, our throughput in our core holdings has not changed. And so the pressure has really been more on inventory levels, and that peaked in the second quarter of last year. Since then, inventory levels in our core holdings have stabilized at a lower level, and that is what our guide -- our guide does not assume that there's any sort of rebound in throughput or inventory holdings. We assume things are where they are, they're not going to improve, and we feel we can perform in that environment. And just a little more on the USDA data. I think everybody knows this, but USDA data is based on a voluntary survey conducted via telephone to facility managers, and only a portion of the total cold stores in the U.S. report, and many can report inconsistently or only report for a portion of their warehouses. And so while it's an interesting data point, it's far from perfect. For us, 20% of our business is outside of the U.S. and only 40% of our commodity basket in the U.S. is reported through the USDA. So we don't believe that's a good predictor of our results in the short term, although it does certainly have correlation in the long term.
Operator: Your next question comes from the line of Michael Mueller from JPMorgan.
Michael Mueller: Curious, what do you see as more normalized longer-term physical and economic occupancy levels for your portfolio?
W. Lehmkuhl: I mean, we certainly strive to move up our physical and economic over time as we gain market share. And we think we are gaining market share. Our customers are always looking to optimize their supply chains, especially our larger customers. There's a number of large optimization initiatives going on at our big customers. One of them had just completed their 7-month study, and they'll be reconfiguring their North American supply chain. And we were just informed earlier this week, and it's a top 10 customer for us that we'll get a 50% increase in business from that customer as this year progresses. So we're looking to gain market share. We think as we optimize our cost structure, as we implement LinOS, as we continue our lean initiatives, we think we can be -- we think in the long term, we can be the lowest cost provider with the best service, with the best scale, with the broadest service offerings, and that will lead to ongoing gain of market share over time.
Robert Crisci: Yes. I think another thing worth pointing out, right, is because occupancy levels have come down, there's space to sell, right? We have room in our business -- there's ton of upsides, so you don't have to go and build a bunch of new buildings in order to service your customers. You can take advantage of available space. So I mean that's -- again, this is -- none of this is embedded in our guide in normal course. We think we can drive mid-single-digit same-store NOI before any of these other great things we're talking about, and we'll be there -- here in the second half of the year and moving forward. So it's a pretty exciting time, as we mentioned.
Operator: Your next question comes from the line of Viktor Fediv from Scotiabank.
Viktor Fediv: This is Viktor Fediv on with Greg McGinniss. I'd like to ask, so at NAREIT, you highlighted a new focus on managing your SG&A expenses. Are you able to provide more clarity on the expectations around that for 2025 and how you plan to address going forward?
Robert Crisci: Yes, for sure. So it's -- if you look at operating leverage, both operationally and through admin, it's a huge part of what we're driving here at the company. You saw nice EBITDA growth in a down market last year. So we're always looking to optimize. I mean, we're investing more in certain areas. We are making sure other areas have the right size, and it's an important part of what we do. So there's a little bit of growth in admin for '25, of course, because we're a new public company, and there's public company costs and things we didn't have before. But other than that, we are -- there's really just not much growth. And I think there's -- again, we built this company because we plan to grow this company to an enormous scale over a long period of time, and we've made some of those investments in advance. And so moving forward, we can grow without a ton of incremental investment in admin. I can tell you, our CEO and I are very focused on this.
Operator: Your next question comes from the line of Vikram Malhotra from Mizuho.
Vikram Malhotra: I just wanted to clarify on your kind of occupancy and maybe just NOI comments and assumptions. I think you mentioned having sort of NOI 47-ish percent first half and the balance in the second half, that's kind of normal seasonality. So if I just run that through, just to clarify, are you -- is that embedding basically occupancy falling in the first half, then picking up a fair amount in the second and essentially the NOI growth negative in the first half just on the percentage you gave and a big pickup in the second? Could you clarify that?
Robert Crisci: Yes. I mean, I think if you run those numbers through your models, you're sort of flattish to slightly down in the first half and up in the second half. I mean, that's -- I think that's normal seasonality because inventory levels were elevated in the first half last year. So yes, that's very consistent with what we just laid out.
Operator: Your next question comes from the line of Ki Bin Kim from Truist.
Ki Bin Kim: Just 2 quick follow-ups. First, what is the stock-based comp assumed in your '25 guidance? And second, I'm looking at Page 11 -- I'm sorry, Page 15 on your slide deck. Just curious, why did the non-same-store storage revenue fall? I mean, it looks like your economic occupancy fell 700 basis points, but your average occupied pallets were actually up 2.8%. So just a little confusing.
Robert Crisci: So I mean, non-same-store, right, there's a lot -- we had some buildings move out of same-store and non-same-store because of the solar fire last year, but there's just a lot of stuff embedded in there. Sorry, what was the first question?
Ki Bin Kim: Stock-based comp...
Robert Crisci: Stock-based comp, yes. I mean, I think we're at a normal run rate now at the end of the fourth quarter, right? A big part of the stock-based comp increase is our starting line, right, where we went to the entire company and offered equity to the majority of people. And I think that's driven a huge benefit, and it will help us in a million different ways. And so that's kind of in the base now. Part of the reason why we have all-time low good productivity. Yes.
Ki Bin Kim: So what is the normalized run rate?
Robert Crisci: Yes. I think we're there for the fourth quarter.
Operator: Your next question comes from the line of Alexander Goldfarb from Piper Sandler.
Alexander Goldfarb: Just a 2-parter here, if you don't mind. One, if you could just give us an update on the lockup or I guess, the expiration of lockup of the pre-IPO investors, where you guys stand and what's going on there? And then the second part is Slide 5 of the presentation really speaks to the outperformance of the platform versus flat year-over-year revenue. And just curious, is this more driven -- that outperformance, is that more driven as you guys acquire assets and you're able to put them on your system? Or do you also see similar outperformance at existing center -- at existing warehouses such that -- and then do you think that this will be able to continue so that the Lineage technology platform that you guys spoke about at the IPO that, that will continue to reflect in results and that we should see this continued outperformance of the metrics versus the top line revenue?
Robert Crisci: Yes. Appreciate the question. Yes. I mean -- and I appreciate you bringing it back to this. Like this is what we do. We are world-class operators. The lean processes, the technology, like yes, it's not just things we acquire. We are consistently always getting better. The whole point of lean is you're always getting better, right? And we've rolled it out across some of our companies, not everywhere. And then LinOS is all amazing upside on top of this, right? So yes, we expect to outperform. We expect to continue to drive margin improvement. As we both said on the call, we're just getting started. And I think there's a ton of opportunity there.
W. Lehmkuhl: And as we get better, everything we acquire just becomes more accretive.
Robert Crisci: Yes. Bigger network, more places to take advantage of that. And then I want to also appreciate the question on the sell-down. So just some comments around that. So we don't see the sell-down process at all as a meaningful headwind, and I'll sort of give you some color on why. So Kevin and Adam, our founders, large individual long-term shareholders. They're obviously very, very aligned with the public market on making sure the settlement process aids our public investors and all of our investors. They control the settlement process. They plan to execute the organized sell-down over this 3-year period, starting with the IPO. They're very focused on long-term share price appreciation as are we all, increasing the public float and expanding our base of great long-term shareholders. We also have increased passive index ownership, right? We're around 30% index ownership now. And then again, thinking about the sell-down over time, only 30% of the company is publicly floated today. But of the remaining 70%, founders and management own a significant amount. And obviously, we expect all of those people to be long-term owners. And so that leaves maybe 2/3 of the stock owned by pre-IPO investors. And of course, we can't predict their investment decisions, but we view a significant number of them, and they've told us such that they are also long-term holders of the stock. So this is a very organized process over the next 2.5 years. There's no like cliff dates and things that should worry people about this being a real headwind. Appreciate the question.
Operator: And your last question comes from the line of Jamie Feldman from Wells Fargo.
James Feldman: And I think your response to Alex may have answered some of it, but the stock has underperformed since the IPO. What do you -- in your conversations with investors, what do you think is most misunderstood? What do you think the key concerns are? And what would you tell people to get more comfortable, especially as we start a new year and you think business is stabilizing?
W. Lehmkuhl: Yes. I think what's been misunderstood is that we've been -- we're growing this company 4% total EBITDA, 6% AFFO per share in a major inventory rebalancing. And so in the start -- in the stiffest headwind the industry has seen in many years, we're still growing, and we're built to grow. Right now, we're delivering the best customer performance of our history where we have record new business wins, our operational, our safety, our energy management performance is great. As Rob said, we'll get great G&A leverage going forward. We have technology and automation that no one else in the industry has, and we're built to grow. And we're going to prove that over the next several years, and I do not think we're getting credit for that on The Street yet. And I understand that we have to show that, but we've shown it for a long time prior to going public. We were kind of in this strange rebalancing position since we've been public, and we expect to perform very well going forward.
Operator: And that concludes our question-and-answer session. I will now turn the call back over to Evan Barbosa for closing remarks.
Evan Barbosa: Thanks. On behalf of the entire Lineage team, thank you for joining us today and for your interest in Lineage. We look forward to speaking with you again on our next quarterly earnings call.
W. Lehmkuhl: Thanks, everybody.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.